Operator: Thank you for standing by. And welcome to the Aaron’s Company First Quarter 2021 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Michael Dickerson, Vice President of Corporate Communications and Investor Relations for Aaron’s. Mr. Dickerson please go ahead.
Michael Dickerson: Thank you and good morning, everyone. Welcome to the Aaron’s Company First Quarter 2021 Earnings Conference Call. Joining me this morning are Douglas Lindsay, Aaron’s Chief Executive Officer; Steve Olsen, Aaron’s President; and Kelly Wall, Aaron’s Chief Financial Officer. After our prepared remarks we will open the call for questions. Many of you have already seen a copy of our earnings release issued this morning. For those of you that have not, it is available on the Investor Relations section of our website at investor.aarons.com. During this call, certain statements we make will be forward-looking, including our financial performance outlook for 2021. I want to call your attention to our Safe Harbor provision for forward-looking statements that can be found at the end of our earnings release. The Safe Harbor provision identifies risks that may cause actual results to differ materially from the content of our forward-looking statements. Also, please see our Form 10-K for the year ended December 31, 2020, and other periodic filings with the SEC for a description of the risks related to our business that may cause actual results to differ materially from our forward-looking statements. On today’s call, we will be referring to certain non-GAAP financial measures, including EBITDA and adjusted EBITDA, non-GAAP net earnings and non-GAAP EPS, which have been adjusted for certain items, which may affect the comparability of our performance with other companies. These non-GAAP measures are detailed in the reconciliation tables included with our earnings release. With that, I will now turn the call over to our CEO, Douglas Lindsay.
Douglas Lindsay: Thanks, Mike, and thank you for joining us today. I’m very pleased with the strong start to 2021 and the positive momentum and revenue and margins we delivered in the first quarter demonstrating the strong operating leverage in our business. Consolidated revenues increased 11.1% year-over-year in our first full quarter as a standalone public company. The revenue increase included same-store revenue growth of 14.8% and we reported adjusted EBITDA margin that improved to 15.4% of revenues. This is the first quarter in over a decade that the company has delivered double-digit same-store revenue growth. Our teams in the field and our store support centers and at Woodhaven are performing at a very high level and are energized and engaged. As I visit Aaron’s stores around the country to support our operations team, I’m seeing a strong sense of pride and optimism about our brand and our competitive position. Our team members and customers are embracing the innovation that we are delivering in the dynamic lease to own market. Over the last five years we’ve significantly transformed the company with the goal of continuing to provide an exceptional customer and team member experience while also driving greater efficiencies in our operating model. I’m proud to say that as of today we have a centralized decisioning platform that provides greater control and predictability resulting in a higher quality lease portfolio. We have enhanced digital payment platforms that are enabling over 75% of monthly customer payments to be made outside of our stores. We have an industry-leading fully transactional e-commerce platform that is attracting a new and younger customer and we have a portfolio of 51 GenNext stores that is currently outperforming our expectations with many more store openings in the pipeline. All of these initiatives are underpinned by the investments that we have made in enhanced analytics and when combined with our more efficient operations are enabling us to deliver strong revenue and earnings growth. These transformations to our business model are contributing to our outstanding performance in the first quarter of 2021. We are encouraged by the continuing improvement and the quality and size of our same store lease portfolio which ended the quarter up 6.2% compared to the end of the first quarter of 2020. This improvement was primarily driven by strong demand for our products, few release merchandise returns, and lower inventory write-offs. In addition, our customer continues to benefit from the ongoing government stimulus. One of the most meaningful contributors to our strong portfolio performance was centralized decisioning, which we implemented across all company operated stores in the U.S. in the spring of 2020. Today nearly 70% of our portfolio is made up of lease agreements that were originated using this technology. Centralized decisioning delivers consistency and predictability in the performance of our lease portfolio. It enables store managers the flexibility to focus their time on growth-oriented activities such as sales and lease servicing. We believe our algorithms provide better outcomes for both the customer and Aaron’s, but the goal of having a greater number of customers achieve ownership while at the same time reducing our cost to serve. We continue to refine this decisioning across our various channels and we expect this will continue to drive greater productivity from our lease portfolio. Another contributor to our strong performance in the quarter was our e-commerce channel which represented more than 14% of lease revenues. Our e-commerce team has really delivered driving traffic growth to Aaron’s.com by 12.8% and increasing revenues by 42% in the first quarter as compared to the prior year quarter. E-commerce lease originations increased as compared to the year ago quarter despite the significant shift of customer activity to our online platform in March of 2020 as stores closed during the early days of the COVID-19 pandemic. In addition, e-commerce write-offs improved by more than 50% compared to last year’s quarter primarily as a result of ongoing decisioning optimization, operational enhancements, and strong customer payment activity. Our e-commerce team continues to deliver ongoing improvements to our online customer acquisition, conversion and servicing capabilities, which is leading to margin growth and continued positive momentum in this important channel. Our e-commerce growth in the quarter is enabled by our stores which are not just showrooms and service centers, but are also last mile logistic hubs delivering an expanded assortment of products with same or next day delivery. Finally, our real estate repositioning and reinvestment strategy is gaining momentum and we expect it will drive future growth. Our new GenNext stores have larger and more modern showrooms, expanded product assortment, and improved brand imaging and digital technologies. To-date we have opened 51 new GenNext stores and have generated results that are meeting or exceeding our targeted internal rate of return. Equally as encouraging monthly lease originations in these stores grew much more rapidly than our average legacy store in the first quarter. Our plan for 2021 is to open more than 60 new GenNext stores with the majority plan to open in the second and third quarters. While we’re excited about both the early financial results and the infrastructure we’re building to accelerate our progress, we continue to maintain a disciplined approach around our execution of this strategy. Before I turn the call over to Kelly, let me reiterate how pleased I am with the strong performance of our teams and the results we have delivered in the first quarter of this year. We remain focused on our key strategic initiatives of simplifying and digitizing the customer experience, aligning our store footprint to our customer opportunity and promoting the Aaron’s value proposition of low payments, high approval rates, and best-in-class service. I will now turn the call over to Kelly Wall to discuss our financial results.
Kelly Wall: Thank you, Douglas. For the first quarter of 2021, revenues were $481.1 million compared to $432.8 million for the first quarter of 2020, an increase of 11.1%. The increase in revenues was primarily due to the improving quality and increased size of our lease portfolio and strong customer payment activity during the quarter aided in part by government stimulus and partially offset by the net reduction of 166 company operated and franchise stores compared to the prior year. As Douglas called out earlier, e-commerce revenues were up 42% compared to the first quarter of the prior year and represented 14.2% of overall lease revenues compared to 11.3% in 2020. On a same store revenue basis revenues increased 14.8% in the first quarter compared to the prior year quarter, the first double digit same store revenue growth since 2009, and our fourth consecutive positive quarter. Same store revenue growth was primarily driven by a larger same store lease portfolio and strong customer payment activity including retail sales and early purchase option exercises. We believe this growth is partially a result of the government stimulus programs passed in 2020 and 2021. Additionally, the company ended the first quarter of 2021 with a lease portfolio size for all company operated stores of $128.8 million; an increase of 3.6% compared to the lease portfolio size as of March 31, 2020. Lease portfolio size represents the next month’s total collectible lease payments from our aggregate outstanding customer lease agreements. Please see our form 10-Q filed this morning for additional detail. Operating expenses excluding restructuring expenses, spin related transaction costs and the impairment of goodwill and other expenses, which were both recorded in the first quarter of 2020 were down $1.5 million as compared to the first quarter of last year. This decrease was primarily due to a reduction in write-offs, store closures and the impact of the COVID related reserves recorded in 2020, partially offset by higher personnel costs related to variable performance compensation, higher marketing expenses and an increase in bank and credit card related fees. Adjusted EBITDA was $73.9 million for the first quarter of 2021 compared with $34.7 million for the same period in 2020, an increase of $39.2 million or 112.9%. As a percentage of total revenues, adjusted EBITDA was 15.4% in the first quarter of 2021 compared with 8% for the same period last year, an improvement of 740 basis points. The improvement in adjusted EBITDA margin was primarily due to the items that drove the total revenue increase and a 310 basis point reduction in overall write-offs to 3.1% of lease revenues, including both improvements in the e-commerce and store origination channels compared to the prior year. The improvement in write-offs was due primarily to the implementation of new decisioning technology, improved operations, the benefit of government stimulus and the impact of COVID related lease merchandise reserves recorded in the first quarter of 2020 and not repeated in 2021. On a non-GAAP basis, diluted earnings per share were $1.24 in the first quarter of 2021 compared to non-GAAP diluted earnings per share of $0.30 for the same quarter in 2020, an increase of $0.94 or 313.3%. Cash generated from operating activities was $20.2 million for the first quarter of 2021, a decline of $36.6 million compared to the first quarter of 2020, primarily due to higher inventory purchases partially offset by higher customer payments and other changes in working capital. During the quarter, the company purchased 252,200 shares of Aaron’s common stock for a total purchase price of approximately $6.3 million. As of the end of the quarter, we had approximately $143.7 million remaining under the company’s share repurchase authorization that was approved by our Board on March 3 of this year. The company’s Board of Directors also declared our first quarterly cash dividend of $0.10 per share last month and we paid the dividend on April 6. As of March 31, 2021 the company had a cash balance of $61.1 million, less than $500,000 debt and total available liquidity of $295.5 million. Turning to our outlook. Based on our performance in the first quarter of 2021 and the passage of the American Rescue Plan Act in March, we have revised our full year 2021 outlook. For the full year, we expect consolidated revenues of between $1.725 billion and $1.775 billion representing an increase in our revenue outlook of $75 billion. We also expect adjusted EBITDA of between $190 million and $205 million representing an increase in our adjusted EBITDA outlook of $35 million. For the full year 2021, our outlook for the effective tax rate, depreciation and amortization and diluted weighted average share count are unchanged. We have also increased our full year same store revenue outlook from a range of 0% to 2% to a range of 4% to 6%. Similar to our original outlook, total revenue and adjusted EBITDA in the first half of 2021 are expected to be higher than the second half of 2021. This outlook assumes no impact from the expansion and acceleration of the child’s tax credit payments expected to begin in July 2021. Additionally, our updated outlook assumes no significant deterioration in the current retail environment or in the state of the U.S. economy as compared to its current condition and a continued improvement in global supply chain conditions. With that I will now turn the call over to the operator who will assist with your questions. 
Operator: [Operator Instructions] Anthony Chukumba with Loop Capital Markets, your line is open. 
Anthony Chukumba: Good morning. Thanks for taking my question and wow, I mean just wow, I mean great results. Congrats on that.
Douglas Lindsay: Thank you.
Anthony Chukumba: I guess, I have a couple questions. First question, you mentioned Kelly just the variants that you mentioned on supply chain, we just wanted to give an update. I know supply chain was a bit of a headwind late last year. I was wondering if what you’re seeing in terms of supply chain now, conditions maybe that you’re comp drivers. Thanks.
Douglas Lindsay: Anthony, its Douglas. Thanks for the question. Yes I just want to say I’m really proud of the team, we got a lot of momentum and energy in the business right now and both channels are really performing well. I think in terms of supply chain, we’re seeing continual improvement there in our inventory levels and we definitely have sufficient inventory to run the business right now. I’m going to kick it to Steve Olsen just to give you a little bit more detail on what’s happening last quarter in our outlook for supply chain.
Steve Olsen: Yes. Thanks Douglas. Good morning, Anthony. Yes, as Douglas said, we’re seeing continued improvement and that continued throughout Q1 and absolutely supported the high level of demand that we saw across categories. As we look through the balance of year, we believe we’re going to see continued improvement from Q2 to Q3 and it’s really now just about fine tuning that inventory across categories and across price points just to get to that exact level we’re looking for.
Anthony Chukumba: Got it. And then just one follow-up and probably still want to make this too granular. But I’m looking through my notes and you said when you provide your guidance before it was affecting about a 4% to 5% write-off rate in 2021 given the reduction in the write-off rate and given the improvements that you talked about with centralized decisioning and giving stimulus. I am just wondering if you could, if that guide has changed at all. Thank you.
Kelly Wall: Yes. Anthony, its Kelly. That guidance still kind of holds for the rest of the year. I mean, as a reminder, as we go through Q3 and certainly into Q4 absent the impact of the changes to the child tax credit, but the stimulus is going to start to lane and so if we kind of model our business to be in that 4% to 5% write-off range as we’re kind of fine-tuning the optimization of our lease decisioning and so we can expect to continue to see that flow through into the P&L.
Anthony Chukumba: Got it. Thanks again and keep up the good work guys.
Douglas Lindsay: Thank you.
Operator: Kyle Joseph with Jefferies, your line is open. 
Kyle Joseph: Good morning, guys. Congratulations on a really-really strong start to the year. I just want to dig into the impacts on stimulus on the quarter and I don’t know if you can give us kind of a trajectory of the comp between January, February and March and even into April just based on when we saw stimulus hit. Just want to get a sense for consumer behavior and buyout activity versus new leases if you could walk us through that?
Steve Olsen: Sure. I'll start Douglas, from what we're seeing with the customer, they're more liquid than we've really ever seen. We recognize this difficult time or there's higher unemployment right now, but our customers are receiving checks and getting stimulus payments and despite the unemployment challenges, they're making more payments than we've seen in a while, more online payments more customers achieving ownership and there's really strong demand for our product and you saw that come through in our comp store sales up 14.8%. I would say as we sort of chunk that same store sales number, I'd say about a third of that performance is relative to larger lease portfolio size and that's in part due to lower churn out of our portfolio because of the liquidity in the marketplace, but also because of our centralized decisioning. So that that's a third of that and as I mentioned on the call, our same store lease portfolio is up about 6% in the quarter which at the end of the quarter which is a good number. About another third of our same store comp in this quarter was related to just strong customer payment activity, renewal rates of our customers and our lease portfolio were much higher and we saw that really spike when the checks came out in March and so that was super helpful and then about a third of our performance in our comp stores of 14.8 was related to higher retail sales and higher early payouts than we've seen in previous years, and so that's kind of the way we're looking at it and so how much stimulus contributes to each of those pieces we definitely know the retail sales and EPO was held by stimulus. It's hard to disaggregate on the payment side and on the lease portfolio side the contribution of stimulus relative to all the other things we're doing in the business to streamline payments and to decision our customer to have a healthier portfolio. We know those are influencing the business and we're really pleased with where the business is today. In terms of outlook, I'm going to let Kelly really speak to as we look at those comps going forward.
Kelly Wall: Yes. Kyle. So obviously, we posted a very strong first quarter and then we're guiding to between 4% and 6% for the year. As we see that play out in Q2 and Q3 and Q4, first I want to remind you that for Q3 and Q4 we're copying over nice increases last year, 7.3% up in Q3 of last year and 3.4% up in Q4. So what you're going to see is, Q2 will be strong and then Q3 and Q4 will be less than Q2 as that kind of flows through the course of the year given what we're copying over. But again in total at that up 4% to 6% for the year something we're very excited about.
Douglas Lindsay: Yes. And one thing I also want to mention about the health of the portfolio, since we've rolled out centralized decisioning, we have more levers than ever to control our performance and really optimize the performance of our portfolio. The churn or the reduction in our product returns and write-offs that we saw this quarter is nothing new. We've been experiencing that since we rolled out centralized decisioning in April last year and so when you combine sort of our ability to move the levers up and down and control the health of the portfolio with the strong demand we're seeing, we're optimistic about what we've done in the business and our ability to drive portfolio performance in the future.
Kyle Joseph: Got it. Very helpful. One follow-up for me, obviously you guys have two quarters now as an independent company going back to the longer term kind of five-year plan you guys laid out in November, given the really strong two quarters out of the gate. Can you talk about kind of your confidence in executing on that longer term plan?
Kelly Wall: Yes Kyle, its Kelly. I'd say that we're as confident as we've been at any point, since the decision was made to split the two businesses last year just the performance across the business, probably the Q1 speaks for itself, but what you're not seeing behind the scenes is us continuing to fine-tune our model. The investments we're making around, on the marketing side, the investments we're making around our real estate strategy, the investments we're making in technology, the people that we've bought on board, as Douglas mentioned in his prepared remarks everyone is super excited about where we're at and where we're headed. So yes, I'd say we feel really good about that five year plan. 
Kyle Joseph: Got it. Congrats again on a good quarter and thanks for answering my questions.
Douglas Lindsay: Thank Kyle.
Operator: Alex Moroccia with Berenberg. Your line is open. 
Alex Moroccia: First one is about your addressable market, in many cases we've seen consumer balance sheets that are stronger today than pre-pandemic. However, have you seen anything that implies customer credit quality has improved through all the government stimulus?
Douglas Lindsay: Yes, this is Douglas, it's tough to say. We've customers that are graduating. First of all, we believe our market size is roughly the same. We know and recessionary times our market expands. We're in actually very unique times right now because of the stimulus that's in place. What we're seeing with our customers, our customer has more liquidity than they have had in the past. And with that liquidity they're not necessarily going out and buying more things for cash. They're still using our product offering which is the lease to get into low monthly payments and they're paying their monthly obligations at a more regular rate. So that's one general thing about the customer. In terms of credit, we are approving more customers that are coming into our portfolio and seeing a higher quality customer in our portfolio. We believe that's happening for two reasons. One, they just have liquidity out there is making our customer have better credit quality. And two, that we have customers coming into our space or falling down into our space from credit tightening up above. So we're seeing definitely demand in the space more so than we saw in the past years.
Alex Moroccia: Great. And second, the strengthen in e-com really stood out to me. Given the amount of online competition, can you remind us how your customer acquisition and retention strategies differ between e-commerce and in-store?
Steve Olsen: Sure Alex, this is Steve Olsen. Now the key difference is, on our acquisition strategy really starts with our digital marketing efforts. So we continue to invest in direct more of our marketing dollars to these digital marketing efforts and really about targeting the right audience and then engaging them with the relevant content and messaging. And then from there, it's about giving them a great user experience on our website. We continue to expand our assortments that we offer on our website, we continue to get more visibility to both our inventory both in our SEs, in our stores, and then give them the right functionality to navigate and that calls the third piece and Douglas will talk about it, I'll just mention that e-commerce decisioning engine, it's been the backbone of our e-commerce platform for over five years and it really helps us to make the right decisions with our customer.
Douglas Lindsay: Yes Alex, the last thing I'd say on that is, we feel like we have a real competitive advantage in e-com. If you think about our embedded infrastructure stores, our stores are not just retail showrooms, there are service centers and there are last mile logistics hubs. So as we expand our product assortment and find better ways, more efficient ways to convert the customer online, it's a high margin business and we're trying a new and younger customer. And in many cases, we're getting more and more products online that we can deliver same day or next day. So that's super encouraging. And I'm really proud of the progress the team has made, not just in customer acquisition, but in conversion and delivery. And it's an exciting channel for us.
Alex Moroccia: Alright, that's helpful. Thank you all.
Douglas Lindsay: Thank you.
Operator: Jason Haas with Bank of America. Your line is open.
Jason Haas: Great, thanks for taking my questions. I wanted to dig into the guidance, changed a little bit. So you had a really strong 1Q. I'm curious to know how much of that raising guidance was due to meeting expectations or getting your plan in 1Q versus whether anything changed with your outlook for 2Q, 3Q and 4Q?
Kelly Wall: Yes. Great question Jason. This is Kelly. So certainly a large part of that raise is the fee that we had in Q1. But kind of piggyback on some of the things that Douglas and Steve talked about, we continue to see great performance in terms of our customers making payments as well as us driving demand and new agreements. So with the larger portfolio size, the higher customer payment activity and the resulting lower write-off, we thought it was prudent to take out that outlook not just for the Q1, but also for the performance that we expect to see through the remainder of the year.
Jason Haas: Got it that. That's really helpful. And then as a follow up, it’s a little bit more longer term. I'm curious just given the recent strength that that causes you to change your plans for reducing the store base. If you feel like maybe it makes sense to keep some of the more stores open just given the strong performance. And then, I think there's been some questions at least that I've received just about any potential to accelerate that pace of closures. So I'm curious if anything's changed with regards to that long term plan?
Douglas Lindsay: Hey Jason nothing's really changed. We continue to assess it, but our strategy is the same. Our objective is to have fewer more profitable stores in the same markets as we are serving today, but having a bigger storefront presence is also a logistics hub and a servicing hub, but also having a growing e-commerce presence. And that's not about sort of shrinking to grow. It's effectively being optimizing our markets and being more efficient in our markets, lowering our cost of service still servicing those markets. And we're super excited about that strategy. And as you see during the quarter, we've opened to-date 51 stores and that's a combination of renovations in place, repositioning and these two to one or three to one merge strategies, which in the case of those mergers, we think we're just creating a more efficient store for prep to the markets we're serving. In terms of moving faster, I do want to call out, which I've done in the past that we've intentionally shortened lease term over the past few years to be able to pivot our portfolio. And we're really optimally positioned to do that. And we're really making great progress there. We have scaled our operations teams and our real estate teams to move faster and we have implementation teams on the ground actually real time implementing the store rollouts. However, we're really trying to take a disciplined approach to our site selection given the long term commitment to these leases, which are let's call it five to seven years. So we may do 100 stores next year, which is approximately 10% of our portfolio which would effectively be kind of where we are at the end of this year as well. And again, this will be a combination of renovate and plays and relocations. But it's, of course, always as with real estate, subject to market conditions, permitting landlord negotiations and construction timelines, which limit us, but our efforts will be if this continues to work which we believe it is, and will to try to accelerate our progress as much as possible in a disciplined way.
Jason Haas: Great. That's very helpful color. Thank you.
Douglas Lindsay: Thank you.
Operator: Tim Vierengel with Northcoast Research. Your line is open.
Tim Vierengel: Thank you. I guess it's a one quick maybe higher level question just centered around your essential business decisioning commentary. Based on maybe my understanding or our team, or here, e-commerce the write offs versus in store have typically been much higher historically and I was wondering in a normalized environment perhaps out of all this noise from stimulus, if you guys think that e-commerce write-offs can be in line with this brick and mortar write-offs longer term or the e-com will continue to be holding more risky than brick and mortar?
Douglas Lindsay: Yes. I'm really proud of what the teams accomplished with our e-commerce business optimizing decisioning there. We've made several changes to our decisioning over the past few years. As you may know, our e-com decisioning, centralized decisioning is sort of more established, we’ve had reasons on e-com. We have a much higher occurrence of new customers as we go and attract the new customer and new customer naturally has a higher write-off. And on the e-com, it's mainly new product which if you think about our stores have a mix of pre-leased and new products and pre-leased products are more highly depreciated and have a lower book value and so when you're writing-off an asset or a piece of inventory on e-com tends to have a higher book value per skew. So combination of new customers and new products always naturally will have higher loss rate, but we're really pleased with the way we're performing there.
Tim Vierengel: Thank you. That's all for me.
Douglas Lindsay: Thank you.
Operator: Brad Thomas with KeyBanc. Your line is open. 
Brad Thomas: Thanks. Good morning. Let me add my congrats as well on a great start of the year here. I just wanted to follow up on that last, sure, well deserved. I just want to follow up on that last question about the write-offs. You're obviously doing some really compelling things like around the central decisioning and so I guess as you kind of found peace upon this unusual time we're in, where customers are behaving in a much more favorable normal with some of the changes you're making. How do you see it all shaping out as the world hopefully starts to go back to normal in the year two ahead here. Where do you target to write-offs longer term?
Douglas Lindsay: Yes Brad. No great question and I appreciate your kind of calling that out. And I'd be remiss if we didn't also point to the great performance of our teams in the field. Centralized decisioning is one part of it and an important part. But the day-to-day activity that goes on across our teams to work with our customers to ensure that they're in a position to make those payments and to collect on those monthly payments is making a big difference as well. So we're running a much more balanced business today than really I've seen since I've been here for sure and that's helping. As it relates to kind of the longer term view here, it's very-very hard for us to kind of parse through the data and understand exactly how much of this improvement is attributed to the government stimulus. But we do know just in looking at our modeling and going off our expectations coming into this cycle with our centralized decisioning that piece of the business is performing well and we expect that to continue. Just a little bit of insight as we think about the back half of this year and certainly as we start to put our thoughts around the following year, our expectation is that the business will continue to perform at levels north of what we saw and call it that 2017-18-19 fiscal periods and that kind of underlines our confidence that it's as much what we're doing on our end to drive this business forward as it is the increase of the system provided by government. So hopefully that helps a little bit as we're thinking about longer term and just to bring it back, I think we mentioned before our target is 4% to 5% write-offs. That's unchanged as we sit here today. That may change going forward as we continue to improve and get even better around managing the portfolio essentially because right now that's what we're managing the business towards.
Steve Olsen: Yes Brad and I can't emphasize when we talk about our portfolio being up 6% year-over-year how big an influence, the lower returns and lower write-offs are to the size of the portfolio. It's not just a P&L metric where we look at net book value divided by revenue reduction in our churn which is a reduction in returns and write-offs, increases the value of our lease portfolio which is a recurring revenue portfolio we benefit from that in future periods.
Brad Thomas: Absolutely. That's really encouraging to hear. I want to follow up on the new store concept as well. Douglas, you gave some comments on it and it sounds like it has some encouraging results. Could you talk a little bit more about how you parse out, how those stores are doing versus sort of other factors and you talked about I think overall store strategy, but you talked more about the potential to accelerate their openings.
Douglas Lindsay : Sure. Yes. So I mean, I think I mentioned we have 51 stores to-date. We've been keenly watching their performances you might imagine and we measure them on two factors. One is against the pro forma and we've got pro forma expectations that are in terms of buyback and IRR and as I said these stores are exceeding our pro forma, but we also look at them versus a control group and early in the sort of rollout of these stores we're really looking at demand curves and kind of how are we driving new originations in these stores. And what we're seeing on the demand side is delivery lift that's about 19% greater than our legacy stores in the first 12 months. So that's very encouraging and we're tracking to our pro forma. We're tracking to our targets for capital deploys and our payback periods and so we're really encouraged by that. We will continue to monitor it as we open more stores. The way we think about these things in the future is it's not a one size fits all. We have a suburban strategy. We've got a rural strategy. We have concepts of work in each of those markets. Some of our stores will be larger stores with static showrooms and about I'd say 60% of those that we built to-date are like that and about 40% will be in smaller markets. We have smaller showrooms. We will still introduce the technology and the footprint and the modern brand image that we want to display in those stores. So we're super excited about that. We've invested heavily in analytics to drive our strategy. We've built a real estate analytics team that where we believe we know where our customer is and how to position those stores and markets. We believe we can serve our 700 markets with fewer stores as we've said before and do that efficiently while freeing up working capital and driving earnings growth and free cash flow. So we're very bullish on that initiative and so far everything's working according to plan.
Brad Thomas: That's very helpful. Thank you so much.
Douglas Lindsay: Thank you. 
Operator: [Operator Instructions] Bobby Griffin with Raymond James. Your line is open. 
Bobby Griffin: Thank you. Good morning everybody. Congrats on a good quarter. Appreciate taking my questions. I guess, the first thing I want to dive into is more just kind of the changing business model here. E-commerce continues to mix up very impressive results. As you're seeing that happen, are you able to find and notice incremental labor savings opportunities in the store infrastructure given that a bigger and bigger portion of your business is coming from online?
Douglas Lindsay: Bob, it's Douglas. I would say generally yes, but I wouldn't point directly to e-com. E-com is increasing volumes in our store, which is great our average customer per store continues to grow and so we need labor to serve those customers. As you know e-com is an acquisition channel and what enables our e-com platform is our built-in infrastructure stores and so to the extent we're driving greater volumes we may need more servicing. That being said however we're getting leverage on that labor and the technology that we're putting in place is freeing up our people to do more value added things in the store such as selling and renewing leases. We have definitely seen lower staffing levels this quarter coming out of the pandemic than we have in the past and I attribute that not only to sort of efficiencies in e-com, but efficiencies in our payment platforms and efficiencies in our centralized decisioning. Centralized decisioning alone we took a transaction that used to take 30 to 45 minutes and turn it into a transaction, it takes 8 to 10 minutes to do and so we're freeing up capacity for our people to do other things which is great and not needing as much labor in the stores. That being said, the business continues to grow and so we will prudently scale labor as it grows over time.
Bobby Griffin: That's very helpful and I guess secondly for me, when you look at great 1Q big EBITDA beat maybe $30 million versus street increasing the guide as well I think by $35 million. So most of the guide increase came from the 1Q numbers at least first our street model, which could have been off versus how you guys looked at it but is that just a sign that you think most of the stimulus impact will be contained in 1Qs so the favorable impact from the $1,400 checks and things like that will be a mostly 1Q, 2021 benefit or is there just some conservatism built in there too because we don't exactly know how the stimulus would play out in the second quarter. Anything around how you guys framed up stimulus carrying forward inside that guidance race would be helpful?
Kelly Wall: Yes. Bobby, it's Kelly. A little bit of color there. So I think you hit on a key point that $30 million you references versus consensus that's not the beat versus our internal plan. So as you know, we provide an annual guide. We don't provide quarterly numbers. What I'll tell you is that in terms of stimulus impact on our customer and then how that impacts us as a company, we believe that the upfront checks that they received in December and then also it's working on all our checks they've received recently that's kind of largely in Q1 and it shows up some degree the very beginning of Q2. There is a continued benefit associated with enhanced unemployment that's been provided. Obviously, unemployment rates are coming down, which is good for us but those customers of ours that rely on the unemployment spec, we expect them to continue to see elevated levels through August when those checks run out at least on the government side or the federal government side of the ledger. So long story short Q2, Q3 continue to benefit at some level from this enhanced stimulus that we've been seeing. Again, we called it out in our prepared remarks that what we haven't factored in yet is, any impact from the change in the child tax credit. We do know based upon what the government has said and what the IFRS has said is that our customer will start receiving some form of refund in July. What we don't know yet is exactly how that's going to be used. It could in effect the second tax season in the course of a fiscal year something that our industry's never seen before. So if you want to think about an area where we're being conservative maybe that's it because we just don't know yet enough to be able to factor that in with any specificity to inform our guidance to you all.
Douglas Lindsay: The only thing I would add to that is when large checks come out like the $1,400 checks there tends to be different behavior in terms of payouts and other things and then smaller checks over time and so we'll wait see what that looks like in the latter part of the year.
Bobby Griffin: I appreciate that. That's very helpful. I guess two quick follow-ups, I mean one on the COVID-related reserves that were booked in 2020. Kelly, do you guys already release those or will you release those back to more normal levels at some point?
Kelly Wall: So the ones that are specific to write-off the least merchandise, we've not released them completely. I think just as the way our reserve calculations work as we continue to see very strong customer payment activity and as a result low write-off activity, if that percentage is naturally kind of coming down in terms of the percentage of the portfolio that we’re earning yet. So it's to be seen how that's going to play out through the course of this year and certainly in the next year. As we do expect at some point, will return back to some more normal level of activity by our customer. But the answer to your question specifically, we haven't released any material portion of that item, just a small piece.
Bobby Griffin: And, I guess the last thing for me was the utility on the balance sheet. Just how do you, you guys great cash balance, no debt, basically. I mean, when you think about using funds for buybacks and different things like, are you managing it for a target liquidity or how are you considering like do you want to keep 300 million of liquidity dry powder or anything like that just to help us think about how you frame up looking at the balance sheet for buybacks in different activities?
Kelly Wall: Yes. Great question. As we think about our balance sheet right now and specifically the liquidity, the one thing we want to make sure of is that we have, as the supply chain continues to normalize, which is going to use cash in the short term as that happens. As we continue our real estate repositioning strategy as well as the investments we're making on the technology side, we want to make sure we have adequate capital to fund those strategies, which are 300 million in liquidity, we believe we do. And then Douglas mentioned wanting to accelerate as best we can the execution of the strategies, we kind of run scenarios that they were able to do that without taking risk around tight flesh and things like that, want to make sure we have capital to fund the business. Outside of that it's just continuing to be opportunistic as to where we should see the share price and then just time. If you look at Q1, our Board approved the $150 million share repurchase authorization at the beginning of March. So we had about three weeks in the quarter to execute on that plan. And so, if you start to think about what that might look like over the course of the year, I hope that kind of informs some of the thinking there. But we're not targeting anything specifically to inform that. We are kind of taken in a quarter by quarter basis again with a view towards how we see that liquidity is going to be needed in the upcoming course.
Bobby Griffin: Absolutely. That's very helpful. I appreciate all the details and best of luck here and 2Q and the rest of the year.
Douglas Lindsay: Great. Thanks Bobby.
Operator: There are no further questions at this time. I would now like to turn the call back over to CEO, Douglas Lindsay for parting remarks.
Douglas Lindsay: Thank you. Thank you all for joining us today. Really appreciate it. We really appreciate your interest in Aaron's and as you can tell we're very excited about the momentum and the strategy for future growth in our business. I want to thank you for your support and we look forward to talking to you again next quarter. Have a great day.
Operator: This concludes the Aaron's Company First Quarter 2021 Earnings Conference Call. We thank you for your participation. You may now disconnect.